Operator: Good afternoon, and thank you for holding. My name is Alex, and I will be your conference operator today. Welcome to Joby Aviation's Second Quarter 2022 Conference Call. [Operator Instructions]. As a reminder, today's call is being recorded and a replay of the call will be available on the Investor Relations section of the company's website. Please note that some of the company's discussion today will include statements regarding future events and financial performance and statements of beliefs, expectation and intent. These forward-looking statements are based on management's current expectations and involve risks and uncertainties that could cause actual results to differ materially from those expressed or implied. For a more detailed discussion of these risks and uncertainties, please refer to the company's filings with the SEC and the Safe Harbor disclaimer contained in today's shareholder letter. The forward-looking statements included in this call are made only as of the date of this call and the company does not assume any obligation to update or revise them. This call will also include references to the company's adjusted EBITDA, which is a non-GAAP financial measure. A reconciliation of this non-GAAP financial measure to the most directly comparable GAAP measure is included in today's Shareholder Letter, which is posted in the Investor Relations section of the company's website. On the call from management today are JoeBen Bevirt, Founder and Chief Executive Officer; Paul Sciarra, Executive Chairman; Didier Papadopoulos, Head of Aircraft Development and Manufacturing; and Matt Field, Chief Financial Officer. After their prepared remarks, we will open the call up for questions. I will now hand the call over to Mr. Bevirt.
JoeBen Bevirt: Thank you, operator. Good afternoon, everyone, and thank you for joining us for today's call. Exactly 1 year ago today, we became a public company and I am tremendously grateful for the trust our investors have put in us and I'm incredibly proud of our team and the progress we have made since then. During the second quarter of this year, we made important progress in all 3 of our key focus areas; type certification, scaling for early manufacturing and preparing for commercial operations. We continue to spend wisely and we remain well capitalized and well positioned to achieve our goals. We started the quarter off with a real win. We were granted our Part 135 Air Carrier Certification by the FAA several months ahead of schedule. It's 1 of 3 regulatory approvals we need to launch our commercial operations alongside a type certificate and a production certificate. On the type certification side, the FAA recently advised eVTOL companies that they would be following a Part 21.17 (b) powered-lift certification framework rather than the planned Part 23 small aircraft framework. The FAA was very clear when they announced this change that they did not expect this to mean any delay in certification and that we would be granted credit for the work we have undertaken to date. This was important to hear given we first signed a Stage 4 G-1 certification basis back in May of 2020 and have been making progress against it ever since. We were the first eVTOL company to sign this document and I'm pleased to announce today that we became the first company to sign a revised version of it under the new certification framework last month. Not only does this mean that the FAA sentiment around timing has borne out. It also means we've been able to maintain our momentum on type certification during the quarter. I also think it's worth being clear that we do see some benefit from the change. With the revised certification path, we have reaffirmed our aircraft with the right design for the market and for the regulation. Of course, there is still work to be done to define how the rules for operating our aircraft will work under the revised approach. But the FAA has also committed to making sure these will be ready for us, drawing on both existing helicopter and airplane rules. The rule-making process for these special federal aviation regulations or SFARs, has been fast tracked and the FAA has stated publicly that it aims to publish a notice for public rule-making before the end of the year. In today's Shareholder Letter, we lay out a clear and simple guide to the type certification process and we encourage you to review it. We wanted to provide a way for you to track our progress quarter-to-quarter and we hope that this guide can become a yardstick for the industry. While we're on the topic of certification, I should touch briefly on our recent acquisition of Avionyx. Acquiring this business allows us to rapidly scale up our software testing and verification resources with a team of around 80 people that have experience on aerospace certification programs of all types, both in the U.S. and Europe. We're excited to be combining their expertise with that of the Joby team and look forward to talking more about software certification in due course. Before I hand it over to Didier, I'd like to touch on 2 other important updates from the quarter. First, our relationship with the U.S. Air Force and the Agility Prime program in particular, which continues to go from strength to strength. We see this as a very important 2-way relationship that delivers a great deal of value for both sides, whether that's providing the Armed Forces with a front row seat to the development of this new technology or the access to facilities and funding that we benefit from. Going into the second quarter, we have signed contracts with the Department of Defense with a potential future value of around $30 million. But as we announced earlier this week, we were able to expand this contract during the quarter, increasing the potential future value to more than $75 million and broadening our engagement on flight test operations to include the U.S. Marine Corps. While the funding opportunity is very welcome, this work also provides us with meaningful opportunities to build up our operational capabilities and deploy our aircraft into service prior to commercial certification, which we think is important, given there are elements of certification that are outside of our control. Finally, I'd like to touch on a couple of recent events. First, the Farnborough Airshow, where we announced that we have applied for concurrent validation of our U.S. type certification with the U.K. Civil Aviation Authority. We believe we're the first eVTOL tell company to apply for such a validation and we're excited about the opportunity it opens up to start operations in the U.K. shortly after the U.S. And second, the White House Summit on Advanced Air Mobility that I was fortunate enough to speak at last week. At both events, the topic on everybody's list was sustainability, whether that's hydrogen electric, which I think has a significant role to play in the future of aviation or today's eVTOL technology. And rightly so, we need to be taking radical action today if we're going to achieve the environmental footprint reductions we need to see. For our part, we've been working with the U.S. Department of Energy's National Renewable Energy Laboratory to complete what we believe is the first life cycle assessment of an eVTOL aircraft's environmental footprint, including manufacturing, operations and ultimately, environmentally conscious disposal or redeployment. We will continue to refine the analysis as we scale our manufacturing, but the initial results are very positive. We expect our aircraft will have a lower environmental footprint than the vast majority of other existing modes of transport and we expect to have a comparable or smaller climate footprint than electric vehicles on the ground, assuming both are charged with renewable energy, which is a sourcing commitment we've made for our aircraft operations wherever possible. We achieved this low footprint by putting a considerable amount of thought and effort into designing for sustainability from the very beginning, whether that's the efficiency of our aircraft in flight or the manufacturing processes we employ. And it's important to note the role that battery plays in all of this. Given the environmental footprint with battery cell manufacturing, it's just not plausible to imagine an aircraft for which the battery must be swapped out every 500 or 1,000 flights. That's not just environmentally unsustainable. It's actually potentially less sustainable than in an aircraft powered by fossil fuels. Instead, we purposely selected a cell and a design which we knew would achieve a considerably longer life of older aircraft and we've already demonstrated on the bench that it can power more than 10,000 representative flight cycles, which is how we get a favorable life cycle climate impact, and we won't stop striving to do even better. Even after those 10,000 cycles, the cells can still deliver important utility by being repurposed into energy storage systems and deployed across Joby's Skyport Network, piloting the demand placed on communities' electricity infrastructure and reducing operating costs. After our cells finish their second life on our Skyports, we've partnered with Redwood Materials to recognize the value of our end-of-life batteries and reincorporate the critical metals contained within them back into the battery supply chain. We've built similar principles into our airframe manufacturing processes using automation and additive techniques where possible to reduce material waste and we're working with third parties to recycle excess titanium, aluminum and carbon fiber. By taking steps like this early enough in our journey towards scale manufacturing, we will have significantly reduced our overall footprint, ensuring that the next generation is able to benefit from the positives of air travel in a sustainable climate-neutral way. With that, I'd like to hand it over to Didier, who is going to walk us through our approach to certification as well as our recent progress on manufacturing. Didier?
Didier Papadopoulos: Thanks, JoeBen and hello, everybody. As JoeBen mentioned at the top of this call, we've continued to make important progress towards the type certification of our aircraft. We signed a revised Stage 4 G-1 certification basis with the FAA. We have nearly 75% of our means of compliance accepted under the new framework and the FAA has now accepted 3 of our ASCPs for area-specific cert plans. But I do appreciate that this sort of data can be a challenge to understand and quantify without adequate context. So, I'm going to put the specifics of our progress to one side for a minute and instead spend a bit of time today going through how the type certification process works and how you can track our progress against it. At our Certification Day Briefing last year, we explained how we see the process in 5 key stages and we presented a chart measuring our progress in each one. Certification is ultimately an extremely rigorous, technical and procedure-heavy exercise. We submit hundreds of documents to the FAA for approval, detailing all of the design work, test, analysis and manuals that our team has diligently completed across every component of the aircraft. I've had the privilege to participate in many aerospace certification programs and I have found that an effective way to track certification progress in a granular way is to look at the submissions and acceptance of these documents. It's 1 way we are tracking progress internally and is the methodology behind the progress charts included in our Shareholder Letter published to date, which we have updated to reflect our current program status. I'd now like to walk you through the 5 stages of the certification process as we see them. Stage 1 is about identifying which of the rules from the Code of Federal Regulations apply to our aircraft and it culminates in a certification basis, which is agreed to by both the aircraft manufacturer and the FAA. We became the first eVTOL company to complete the stage back in May 2020 when we agreed our first G-1 certification basis with the FAA. We have subsequently signed a revised version of this document a few weeks ago. And so for all intents and purposes, the stage is complete. During Stage 2, we move from which regulations apply to what we are doing to demonstrate compliance with these regulations. We have close to 3/4 of these means of compliance already accepted by the FAA under the new framework. That means we've reviewed or revised nearly all of the work we've done to date in record time and had it accepted by the FAA. I'm really grateful to the team and the FAA for working through this so quickly. Almost all of the remaining 25% has been submitted to the FAA for review and approval. Stage 3 is where we get even more specific about how we demonstrate that compliance, translating the means of compliance into certification plans that detail the exact testing and analysis we intend to perform. This is where most of our recent effort has been focused. And over the last quarter, we've also made great progress here with 2 further area-specific certification plans or ASCPs, accepted by the FAA, bringing the total accepted to 3 out of about a dozen total ASCPs. We also have the majority of the rest of them ready to go just as soon as the associated means of compliance are fully accepted. Taken together, Stages 1, 2 and 3 form what we call the definition phase of type certification. As we complete these stages, we enter into a more detailed agreement with the FAA on exactly how we will demonstrate regulatory compliance and gain more confidence in our regulatory path. Before I get to the implementation phase where we start to compete for credit testing, it's worth noting that an aircraft certification program is often in multiple stages of the process simultaneously. It's possible to make progress at different speeds in different areas of the aircraft. In other words, it's possible to begin work on the next stage before receiving FAA sign up on the previous one. And that's exactly what we do at Joby. We always want to be ready for the next stage before it happens to minimize the time it takes for the overall process. We don't wait for our means of compliance to be accepted before we start putting together our certification plans. We have them ready to go the day the FAA accepts our means of compliance. And we don't wait for the certification plans to be accepted before we start our in-house testing. We've been testing for years, preparing for the moment that we're ready to start formal FAA for credit testing. That's part of what makes Joby a special team. We think ahead and we work ahead, building the capabilities in-house and testing them to make sure they're ready before we need them. And it means that we're more than prepared for what comes next, namely Stage 4, the first step of the implementation phase. And this is my favorite stage. It's the testing and analysis stage during which we shake, bake and break our components. Before we finish this first stage, we will have completed thousands of tests. Each and every component of our aircraft will be tested. The sub-assemblies will be tested. The systems will be tested. And of course, the aircraft as a whole will be put through its pace for credit. In February of this year, we announced that we began coupon-level conformity testing with the FAA, which is a formal part of Stage 4. And we've also started developing additional test plans and procedures and running them to prepare for the formal testing. For example, we've recently run tests associated with our equipment environmental qualifications and our electrical wiring robustness. We've also been able to make really important progress on preparing to perform for credit tests on production in 10 parts, including the installation of test plan for our airframe, propeller blades, tilt actuators and processor modules, many of which were designed and built in-house. With several development tests completed, we are on track to submit our first formal environmental qualification test plan to the FAA in the coming weeks. We built the tail section of our first production-intent aircraft, which you can see on the front cover of our letter to shareholders and assembly of the weight and fuselage are well underway. We have also manufactured several more copies of many larger composite parts to be used for testing and for additional airplanes in parallel. Similarly, we've built and begun internal acceptance testing on the majority of the powertrain and electronics assembly unit for our first production aircraft. These assemblies, including design intent electric propulsion units, battery modules and mission display computers were built on our production line in San Carlos, where our processes are capable of scaling to support production, not just now, but also for the future when we are building hundreds of planes a year. Our ability to deliver a volume of production-intent parts is not only central to making progress in Stage 4 and supporting our upcoming DoD commitments, we believe it sets Joby apart. You can't test where you can't build and we don't believe anybody else is in this position today consistently building parts that are designed for production aircraft, confirming the manufacturability of our designs and defining test procedures to begin internal validation and for credit testing. To finish the story, the fifth and final stage of the process is verification during which FAA confirms the results of our testing. And when this stage is complete, the FAA issues a type certificate. For each of the 5 stages, we have provided 2 measurement criteria in today's Shareholder Letter. The first indicates what percentage of the work has been completed or submitted by Joby and the second indicates what percentage has been subsequently accepted or approved by the FAA. All of these numbers reflect the revised certification framework. We'll publish the same measurements each quarter so you can effectively track our progress and will also provide continued insight into what goes into each of those numbers. I appreciate that this is a lot to take in. And so I'd encourage you to refer back to the Shareholder Letter and will happily answer any questions you have later on this call. I'll now hand it over to Matt to discuss our financial results for the second quarter.
Matthew Field: Thanks, Didier. Good afternoon, and thanks for joining. We remain well capitalized with $1.2 billion in cash and short-term marketable securities as of the end of the second quarter to support our continued progress on certification, manufacturing and early operations. In the second quarter of 2022, we incurred a net loss of $49.6 million or $0.09 per share, reflecting a loss from operations of $99.4 million, offset by other income of $49.8 million. The loss from operations included stock-based compensation expense of $19.4 million. Similar to prior quarters, the favorable results in other income reflected the revaluation of our derivative liabilities worth $42.7 million and income from our equity method investments of $4.6 million. Also included in other income is interest and other income, which rose to $2.6 million, reflecting increased interest on our invested funds. Adjusted EBITDA, which, as a reminder, is a non-GAAP financial measure that we reconcile to net income in our Shareholder Letter was negative $74.1 million. This was $16.7 million higher than the second quarter of 2021 and $4.4 million above the prior quarter, primarily reflecting the continued growth in personnel to support our operations and R&D costs associated with building parts both for our testing and for our production-intent aircraft. As of June 30, we had over 1,300 employees globally, which also included the Avionyx team. Cash used in operating activities and purchases of property and equipment totaled $61.3 million. Spending in the second quarter was below the prior quarter. This reduction largely reflected fewer biweekly pay periods and lower spending on R&D materials and property and equipment. For the first half of 2022, our net cash used in operating activities and purchase of property and equipment totaled $133.5 million. As a reminder from last quarter, our cash flow for the first half, as referenced in our Shareholder Letter and will be included in our 10-Q excludes cash held in our short-term investments. In the first quarter, we invested a substantial amount of the proceeds from our merger with Reinvent Technology Partners. Therefore, our statement of cash flow will show a more sizable cash outflow reflecting this investment. We have always said that we would be disciplined regarding our uses of cash. For 2022, we outlined that our priorities for the year would be certification, early manufacturing operations, initial commercial operations, which includes supporting our Department of Defense partners and our responsibilities as a public company. We continue to prioritize these parts of our business amidst a dynamic external environment. And we have identified savings and moderated our spending in other areas to reflect increased economic uncertainties. For 2022, we are revising our guidance and now projecting our net cash used in operating activities and purchases of property and equipment to range from $320 million to $340 million. This is a reduction from our prior spending guidance, which, as a reminder, range from $340 million to $360 million, reflecting these actions. We are proud of the progress we've made so far in 2022 and in particular, how our operations in Marina, California are coming along as we progress building out our pilot manufacturing operations and undertake regular flight testing. We would like to invite analysts and investors to our first ever Joby Field Trip on October 13 to see our facilities at the Marina Airport, where we have revitalized much of the old Fort Worth U.S. Army Airfield to support modern 21st century manufacturing and where we are continually conducting flight testing activities to support the certification of our aircraft. We will share more details in the near future and look forward to seeing you in October. This concludes our prepared remarks and we'll be happy to take any questions you may have. Operator, would you please instruct participants on how to ask questions.
Operator: [Operator Instructions]. Our first question comes from the line of Andres Sheppard with Cantor Fitzgerald.
Andres Sheppard: Congrats on the quarter. I was wondering if you could maybe add a little bit more granularity in regards to the expansion with the -- expansion and the partnership with the DoD. I see that now the total contract value is north of $75 million. So, just maybe help us understand how will this take shape and when and how exactly do you expect to monetize the relationship?
Paul Sciarra: Andres, this is Paul. So, we're really excited about the announcement just yesterday around the expansion of that partnership. And there's really 2 pieces of it. One is an extension of the overall deliverable set to include advanced testing and potential new capabilities of the aircraft. So, that increases the overall contract value from around $30 million to $75 million. The second piece is that we're including now the Marines as co-partners with the Air Force and Agility Prime in that contract. And we really see it as yield momentum in terms of our work with these government partners. And we're very excited about the opportunity to kind of give them a front row seat in really understanding how this aircraft can fit into their concept of operations. Obviously, our goal there is potential larger deployments over time. The specifics are really around, as I said, sort of advanced testing. So, making sure that they understand the capabilities of the vehicle, what it can do and to make sure that they understand where and how the use cases sort of fit amongst the things they're doing. So the Marines, for example, is looking at this aircraft for both personnel movement, logistics and then also potential special operations like medevac and personnel extraction. So, we're going to have an opportunity to see exactly how that can work and we're really excited about the opportunity there.
Andres Sheppard: And maybe as a follow-up, I'm sure you're aware there's been some macro chatter in regards to the FAA and maybe the certification somewhat consolidating and potentially increasing the FAA's requirements to that 10 to the negative 9 safety degree. I'd be curious to get your thoughts on that. Do you see that materializing? And if so, what impact, if any, might that have on your certification?
Didier Papadopoulos: Andres, this is Didier. I'll take this one. So yes, we are tracking the regulatory landscape as it relates to the FAA and various other agencies, as you might imagine. What's key for us here is to get back to the statement that JoeBen said earlier, with the revised framework, we had the opportunity to work with the FAA on the G-1. The G-1 sets the stage exactly for the regulations that apply to our aircraft. And within the last few weeks, we were able to successfully get our device to Stage 4 get signed. And so for all intended purposes, we have a clear understanding of the regulations that will apply to us and we have a clear path to move forward. In fact, this is a great opportunity for us because what we also were able to do is to bring in some potential other regulations that we're expecting already through special conditions. We brought those in and included them already in the G-1. So, we do have a clear path and feel very solid with where we're going here.
Operator: Our next question comes from the line of David Zazula with Barclays.
David Zazula: Didier, another one for you. You guys had reported 80% progress towards means of compliance last quarter, obviously, after having to redo the standard you went to 75%. Based on the discussion you had [Technical Difficulty] it sounds like that's not an issue and that you can still work ahead on further stages, even as you're having to resubmit some work here. I guess can you just confirm that nothing in moving the #1 way or the other is affecting your long-term time line and whether there is a particular date that you need to complete G-2 in order to feel you're still on track for your stated goal of type certification?
Didier Papadopoulos: Yes, this is Didier again. Sorry, we lost you a few times during the question, but I think I -- just let me know if I don't address all of it. So, one of the items you talked about is the 75% means of compliance versus the 80%. What's key there is to think about the earlier statement I made, which is the fact that within the scope of the means of compliance right now, we actually brought in additional regulations that we expected to come before. So, there was this concept of special conditions that had not been published and we were waiting on these. Those are all in now. So, the scope is a lot clearer now. And so the 75% actually represent as far as I'm concerned, an amazing achievement for the team. We have a lot more solid understanding of what we need to do. Furthermore, we've moved from 1 area-specific certification plan that's accepted to now 3. That's what's key here. That number unlocks many of these MOCs so that we can now proceed into the testing, verification and showing compliance phases that we talked about in the 5 stages of certification. So overall, it's a bit net positive progress.
David Zazula: And then the last part of it is, is there a specific date that you have in mind that you need to complete the G-2 in order to feel that you're on track for your type certification next year?
Didier Papadopoulos: Yes. So, what we shared in the recent time is that we continue to expect to have the majority of the means of compliances submitted and that's really what matters, track us on the scope of the means of compliance and how many ASCPs we are on track as of today, and that's kind of where we need to continue to focus.
David Zazula: And then if I could just squeeze one more in for either Matt or JoeBen. There was comments, I think, both in the prepared remarks and in the Shareholder Letter around an uncertain external environment. I mean far be it from me to complain about you guys doing better than expected on expenses, but wondering if you could expand on what you mean by the uncertain external environment.
Matthew Field: David, it's Matt. So, what we mean by that is really there's just greater volatility, both in the external markets, but also with interest rates, with inflation and just a multitude of factors that all companies are trying to balance these days. And so given that, we just felt it was prudent to be proactive and look at our cash burn and our cost structure and take actions where we felt were relevant and also reprioritize those areas that were key to the certification process. So again, keeping prioritization on the same areas we've said for the year, which are a certification, early manufacturing and then early operations.
Operator: Our next question comes from the line of Savi Syth with Raymond James.
Savi Syth: Regarding the concurrent validation application to the U.K. Civil Aviation Authority, I was curious what the strategy was relative to? I'm guessing that adds some complexity to the process. And also, if you've gotten any feedback from them on their willingness to kind of entertain this given that they seem to be in line to kind of adopt the EASA process?
Didier Papadopoulos: This is Didier. I'll take this one. So, I'd start by saying that the application with the U.K. CAA remains aligned in general with our strategy, which is the fact that the FAA is our home regulator and we intend to continue to pursue this as our primary initial certification. That said, with the U.K. CAA and the FAA making that joint statement to work together towards a common framework, it represents an opportunity for us to do a nearly simultaneous certification approval with the U.K. shortly after the FAA. And so we're taking advantage of the opportunity to do that and continue the discussions with them, which has been really positive to date.
Savi Syth: And if I might, on the -- as you kind of think assuming things progress as planned, I was kind of curious, going back to the question about the things that you've decided to not work on today because it's not the most critical aspects, but also as you kind of progress on this plan, could you give -- I realize this is early days, but a very kind of high level early color on how we should think about the magnitude of the step-up in R&D and SG&A as we go through the next couple of years?
Matthew Field: So, it's Matt. We're not providing new guidance on the step-up. But as I have encouraged people to think ahead, this year has really been around ramping up our engineering team and hitting our certification deliverables. We've been ramping up early production in manufacturing. And I think we're really unique in that space and that we're actually building on the line at this point. And so think about that as your hourly folks, your manufacturing operations starting to get practice. As you look ahead to the out-years though, what you can expect is that manufacturing will continue to ramp because our production pace will increase and so that will require more people in the plants, more hourly supervisors and so forth. And then following that, you could expect the ramp-up in other resources in air operations as we bring pilots on, our mechanics but also support Department of Defense obligations, but then eventually bringing that product team on stream, the customer interfacing teams and all that. So, I think of it kind of in those 4 ramps around headcount and the spending will really largely reflect production and manufacturing and in the production of planes.
Savi Syth: And then just a little bit more on that Matt, are there kind of time lines that those start to really kind of build up and gain momentum as we think about the next 2 years, like manufacturing, I'm guessing builds momentum right now and into the next few years. But when do some of the other resources in the customer-facing side, but when do you start building those out?
Matthew Field: Yes. So, you're right on manufacturing. Manufacturing kind of started this year and I'd say, materially this year and then we'll continue to ramp over the next few years. I would expect the other elements to ramp in a stagger state over the next couple of years as well. Different ones have different kind of ramp curves, if you will, based on how quickly you can attract and train. So for instance, mechanics will take longer, pilots would take longer, software programmers for app development would be shorter.
Operator: Our next question comes from the line of Kristine Liwag with Morgan Stanley.
Kristine Liwag: Sorry for the background noise. I'm at an airport. So, maybe starting out with the Avionyx acquisition. Didier, could you provide some tangible examples on how this acquisition scales and your ability to certify? What kind of capabilities would they bring to the table?
Didier Papadopoulos: First, I'll take the opportunity to say again, welcome to the Avionyx team to Joby. We're really excited to have them joining the team here, represent an amazing opportunity for us. As far as the opportunity here, so if you think about the 5 stages of certification, you can somewhat mimic that when it comes to software. You -- the development process as it relates to software in aviation is highly regulated. There's specific standards that you need to comply with in the development, verification, that addition activities. Avionyx, over the past several years has proven themselves throughout the industry with various avionics manufacturer, particularly focusing in the area of the verification phase of software. That's a very, very unique skill set that requires a lot of years of fine-tuning. We were fortunate to work with them about 1.5 years ago on a smaller size project and we're very impressed by the activities and the level of skill set that they've demonstrated. That's a skill set that directly applies to software development associated with the various processing capabilities, flight control, lot of development and so on that we definitely need in-house. And so because of that technical and cultural match and then our strategy of vertical integration, it is really a perfect fit to complete this marriage.
Kristine Liwag: And if I could do a follow-up question on defense. Paul, you provided some color on the expanded contract with the Department of Defense. So, can you provide more milestones or deliverables that you have to achieve? And also in terms of contract terms, is there some sort of cost plus contracts that you're taking risk-free? Any more color would be really appreciated.
Paul Sciarra: So, I don't know that we're able to share the contract details. I believe we have a version that was published. But roughly, you can think about it as delivery of flight testing to each of these customers and in turn data that is associated with those flight tests. That's going to allow them to evaluate the performance of the aircraft and really think through what the concept of operation implications are for them as they think about the work that they do. So, that's work that's going to be -- that has been ongoing, obviously, with our partners in the Air Force. And now we'll continue to really sort of accelerate over the next few quarters with now the Marine is also on board.
JoeBen Bevirt: And Kristine, just 1 follow-up to Paul's comments. So, the published contracts, so as a reminder for people, the original Phase 3 contract we appended to our Q1 10-Q. And this extension, we will append to our Q3 10-Q, and so we'll have a redacted version because it was signed within the third quarter attached to the Q3 10-Q.
Kristine Liwag: And Matt, if I could ask a question for you, too, sorry, 1 for everybody here. You talked about lower range free cash flow outflow for this year by about $20 million with the uncertain economic environment. When you guys look at your liquidity and how much cash you have in the balance sheet, is this a period to tighten the belt or should this be a period where you're more aggressive on spending in order to prepare for certification in that initial commercial service?
Matthew Field: Kristine, so we feel it's a prudent time to cut back in other areas for this year. We're not cutting back in the areas that affect certification, but some of the central areas but also asking the team for identifying efficiency. So, a great example is the team is looking across the different test products and saying, hey, can we do multiple tests with 1 R&D item? And so efficiencies like that, they're just healthy and they're kind of at the core of what Joby does best. And so as we got further in the year and we saw these things coming through and also asking the team to find opportunities given the external environment, we felt that it was also responsible to share a new guidance with you all.
Operator: Our next question comes from the line of Edison Yu with Deutsche Bank.
Edison Yu: Thanks, and particularly for sharing the certification, I'm sure many people will appreciate that. I wanted to clarify one thing on the certification. Is it my understanding that you're saying after all these revisions, which you did very quickly that you're still feeling quite comfortable with the 2023 time line? Is that what you're saying?
Paul Sciarra: Ed, this is Paul. Look, as we said last quarter, the FAA told us that they didn't expect that this administrative sort of change to certification would have any impact on the time line. And I think Edison, we've really seen that borne out over the last few months. The turnaround on the new revised G-1, the obviously continued work at the line on additional ASCP approvals. We both see it as really positive indicators that we're continuing to make the progress that we need. At the same time, we've never been shy that the effort ahead of us on certification is going to be a difficult one. We feel like we have the right team in place. We feel like that team is moving forward day-to-day on exactly the things that they need to make that happen. But we are pushing forward at the speed that we believe we can. And we feel good about where our progress stands now. And I should say that we're continuing to sort of target 2024 for the beginning of service operations with the aircraft.
Edison Yu: And just a follow-up on, I guess, more of an engineering question. Obviously, there's a tremendous amount going on developmental-wise for the production vehicle. How comfortable, I guess, are you with the weight and some of the operating assumptions that you previously laid out after having done much more work on that. Are you expecting any sort of major changes either better or worse in terms of those performance metrics?
JoeBen Bevirt: So, we designed this aircraft to carry a pilot and 4 passengers. And we feel good about the progress we're making. And I'd really like to highlight the -- how exciting it is to be getting these production-intent components coming off the line and really looking forward to welcoming all of you in October to Marina to see this in person for yourselves. It's just fantastic to be bringing this to the world and really looking forward to all of you being able to see it first-hand. And yes, just really appreciate all the momentum from our team and the support from the FAA that Didier touched upon as well as the international regulators that I think we're in a very strong position and looking forward to the continued progress.
Operator: Our next question comes from the line of Bill Peterson with JPMorgan.
William Peterson: I'm also at an airport. [indiscernible] I have a few questions, I think, for Didier. And the first one is a follow-up to Andres' and Savanthi's questions. I just want to put a finer point on the foreign certification. Regarding the CAA, it's our understanding that they're adopting the EASA standards. EASA, to Andres' point has a more stringent than the FAA. So, I guess just specifically, with your revised G-1, and I guess, as you're planning for means of compliance, are you planning to certify the 10 to the minus 7 or 10 to the minus 9? And you said these certifications would be fairly quickly on after the other. So, I'm presuming you're going for the more stringent standard? Is that the right assumption?
Didier Papadopoulos: I don't believe we've necessarily shared with 10 to the minus 7 or 8 or 8 in the past. So, I will say that with the revised G-1 and the progress on the ASCPs, it generally has confirmed that the design we have and the means of compliances, the cert pass that we have remains solid. We have had no changes come out of that G-1 revision.
JoeBen Bevirt: Just to build on that, Bill. Didier, I know you touched on this earlier, but -- so the announcement with the CAA is the CAA has agreed that they will use the FAA certification to support the equivalent of the type certification in the U.K. And so even though they are partnered with EASA for some of the certification, the basis for our plan will be built off the FAA type cert what they announced.
Didier Papadopoulos: So, as an example, it could be, for example, that the U.K. would validate an EASA-based initial certification, and they would also validate an FAA-based certification, which is the path that Joby is taking at this time.
William Peterson: I wanted to also talk about different aspects of certification. The aircraft don't discuss battery being a key area, recently in article, that touched upon the form factor, pouch for cylindrical. I think in the past, you discussed using conventional lithium-ion batteries, I guess, one use better using volume. But I guess can you share more details on the types of batteries you're using to plan to certify with? What kind of risks are associated with that? And I guess, is this an area for the means of compliance that follows it from the 25%?
JoeBen Bevirt: Yes. So the -- as we've said before, we are using cells that are currently used for automotive applications. These are cells that are produced in large quantities at very high quality. And we take those cells and we build them into battery modules, which we have put a lot of effort into designing for safety. We've been -- our certification team has been working closely with the FAA for a number of years to ensure that our battery systems and the integration of those into the aircraft are done in a way that delivers a very high level of safety for aircraft. I should also highlight the really remarkable results that we've been able to achieve on the life cycle performance of the cells, which is crucial for both our operating costs and for our life cycle environmental impact. And we think this is an area that we're especially proud of and will be very important for the economics of operating our service.
Operator: Our next question is a follow-up from Andres Sheppard with Cantor Fitzgerald. There is currently no response from Mr. Sheppard's line. So ladies and gentlemen, we have reached the end of the question-and-answer session. I will now turn the call back over to JoeBen Bevirt for closing remarks.
JoeBen Bevirt: Thank you, operator, and thank you, everyone, for joining us today. To summarize the 3 key takeaways from our call. First, progress continues at speed on certification and production, and we've provided new levels of transparency into each step of the certification process. Second, we've expanded our government engagement with Agility Prime and the introduction of the U.S. Marine Corps, which gives us a great opportunity to gain experience and put our aircraft into service. And finally, we're responding to market conditions by increasing our focus on 3 key areas of focus; certification, pilot production and early operations. We're now expecting to come in under our previous spending guidance. We look forward to seeing you at our field trip event in October, and we hope you have a fantastic day. Thank you so much for joining us.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.